Operator: Good morning, and welcome to the Third Quarter 2010 Results Conference Call. At this time all participants are in a listen-only mode. After the presentation the company will conduct a question-and-answer session. Today’s conference is also being recorded. If you have any objections you may disconnect at this time. Before the conference call begins, please remember that the company will be discussing some issues that are historical and some issues that are forward-looking. When the company speaks about future results events, there a variety of factors that may materially change their actual results from those projected. A list of relevant factors that may be found in the earnings press release as well as in the company’s 2009 10-K filed with the SEC on March 15, 2010. The company undertakes no obligations to update any forward-looking statements whether a result of new information, future events or otherwise. Additionally, the company may discuss EBITDA. EBITDA is not a measure of performance under Generally Accepted Accounting Principles and is considered a non-GAAP financial measure as defined by the SEC. The Company may present EBITDA because management believes that EBITDA could be useful to investors as indication of their ability to incur and service debts and because EBITDA is a measure of use under their credit facility to determine whether they have incurred additional debt under such facility for reconciliation from income before income taxes to EBITDA. Please refer to the company’s current report on Form 8-K furnished to the SEC on November 8, 2010. Now the meeting will be turned over to Matthew V. Crawford, President and COO. Gentlemen, you may begin your conference.
Matt Crawford: Thank you very much and good morning. The third quarter revenue was up 20% versus last year ending the same period to a total of about $203 million. The quarter was capped in September with our strongest monthly sales during 2010. EBITDA as defined almost doubled from last year to a total of $20.5 million and earnings-per-share showed a significant reversal from a loss of 2009 to $0.52 per share. Additionally, total net debt came down by more than $3 million after taking effect of the $18.2 million purchase price of ACS. Now looking at the individual segments. Supply Technologies revenue increased 26% year-over-year and 7% sequentially from the second quarter. Included in these results was revenue associated with the ACS acquisition for the month of September only. Strength has been across the board from last year with particular success in truck, semiconductor and recreational sports. Operating profit margins also improved due to incremental volume to over 6% or approximately $6.4 million. This increase represents an incremental margin of almost 20% on additional sales. While this is atypical for this business, it does demonstrate a trend we hope to capitalize on as the economy recovers and we fully integrate ACS over the next six to nine months. Aluminum Products revenue also grew by 12% during the quarter largely due to the recovery in the production levels in the auto sector. The profitability also reversed nicely from a loss last year of $1.3 million to a positive of $1.9 million or a margin of 5.4%. Manufactured Products grew 17% versus 2009 as volumes continue to recover in parallel with the global manufacturing markets. More importantly, as an indicator of future activity, global bookings – or excuse me – bookings in our global new equipment business are up 50% for this year year-to-date versus last year. Due to this resurgence of activity we’re optimistic that revenue will continue to improve throughout the rest of the year despite some weakness in the locomotive end market. Operating profit has also recovered nicely reaching $8.3 million versus $3.4 million last year. Although we always get some volatility due to product mix in this segment we’re optimistic that improved volumes will benefit was already our highest margin segment. Looking at the balance sheet, we are especially pleased with our continued strong cash performance. Net debt decreased by more than $3 million after giving effect to the $18.2 million purchase of ACS. This brings our year-to-date total debt reduction to a total just shy of $25 million. Our revolver availability at the end of the quarter stood just in excess of $50 million. CapEx for the quarter was about $1.5 million. We expect CapEx for the year to be about $4 million. In closing, we’re cautiously optimistic about the company’s outlook although we continue to see positive signs in the demand trends; we’re also aware of the uncertain climate – the uncertain business climate globally. Accordingly, we are increasing our sales forecast to just over $800 million at an earnings-per-share target of $1.25. Thank you very much.
Edward Crawford: Thanks, Matt. Just a couple of comments. We started this year 2010, the plan to have what we called a control the cent of the business particularly in light of the amazing compression in revenues in ’08 and ’09 and more important prepare the company for the future. We always felt that through a crisis like this you can make some changes and do the things necessary that when the revenues return the company can really, really prosper from the earnings-per-share. I think we have accomplished that. I will talk briefly about our three silos at the company different business units. Supply Technology continues to be an outstanding performer moving along briskly with the increase in revenues. We expect that to continue to improve as sales across our – our large, large base of world class manufacturing companies increase globally and particularly in North America. We were fortunate enough to – to make an acquisition. We started the year concerned about making any acquisition, but one appeared that we felt was absolutely – it’s probably the one of the best acquisitions the company has ever made. We call it a bolt [ph] on, meaning it fits directly in this right technology. This is a company that was well managed, having a customer base that we have been envious of. It’s a little bit smaller in size per customer compared to some of our really major international companies, but this is kind of a company we were a little jealous about – in the eyes of the beholder, they some accounts that we really wanted, but they’re really embedded with that customer or their supplier ACS, because of the management team, the quality of service; so this was not a broken asset. This was an asset that became available for all the right reasons. We made the decision and I think we’re going to be able to expect great things. These customers, particularly controlled by ACS, they were able to supply them in North America, but was not able to supply their very global customers internationally. So this is a company – or that segment or that add-on to Supply Technologies will be one that can grow organically and a lot to international sales. Very pleased with that. I am sure you can pick that tenor of my voice up. This is a very, very good strategic decision for the company going forward. Let’s move on to Manufactured Products. This, for many years, was a real generator of cash and profitability of the company. When we had this compression and the sales and revenue went down internationally, it kind of lost its momentum but it’s on the way back and we know it’s on the way back because the first thing it happens in a capital equipment business before the new orders come. And when people are starting like bowsfield [ph] and companies that are starting to ramp up their oil and gas efforts, supply parts and the service come first. So we’re seeing an increase in service and parts around the world in North America and we expect right behind that will become new orders hopefully for equipment. So that seems to be right where we would like it to be. Lastly, General Aluminum, this has been the one that’s been a couple of times frightening in the last two years as we’ve prepared it for the future. We talked about that intersection where the supply base would shrink down due to closures and the automobile business would ramp back up and that is in the process of happening. There is an evolution taking place in the automobile industry in the move from hydraulic steering to electronic steering systems and our new customers ZF leads in this particular area. We’re going to be participating in that in the future. That gives us a footprint in what would be clearly one of the most important changes ongoing in the auto industry. And when we talk about dollars then we’re talking about domestic automobiles as well as the offshore efforts. And we’re back and have been very successful in our relationship with Chrysler. We still feel that based on being there that they’re making all the right decisions and the Fiat relationship seems to be working well and we have taken two new platforms and these revenues will begin in 2012. So, when you take the three businesses, our units, it’s been a long time since they are all ready and poised and positioned to, again, be the benefactor of increased revenues. We are accomplishing these results with a little wind at our back. It’s not exactly overwhelming, but clearly the company is a better company today than it was going into the crisis and we are looking forward to growing all three segments and it would be wonderful if they are all seem to be going in the right direction at the right time and so we’re really happy about what we’ve accomplished. I want to thank all of our employees that somehow spend an hour or so after work listening to these presentations, but thank you and thank all the stakeholders in the company, but we really have never been in a better position. So, at this particular time I would like to open the lines to any Q&A. And again, thank you.
Operator: (Operator Instructions) You have a question from the line of Richard Paget with Morgan Joseph.
Richard Paget – Morgan Joseph: Good morning, guys.
Edward Crawford: Hi, Richard. How are you today?
Richard Paget – Morgan Joseph: I’m doing well. I am assuming you guys are doing well.
Edward Crawford: We feel pretty good out here.
Richard Paget – Morgan Joseph: I guess we’ll just kind of take each segment in order. First, starting off with Supply Tech. Could you be a little bit more specific in some of the new customers that ACS adds?
Matt Crawford: Richard, its Matt talking. How are you?
Richard Paget – Morgan Joseph: Good.
Matt Crawford: No. We’re – as we typically don’t and with rare exception we are not going to disclose specific customers names, but they are largely reflective of our typical customer at Supply Tech, which is a multi-billion dollar company with certainly a national footprint, if not a multinational footprint. One of the things that we liked about the customer base was a lot of times you find in an acquisition target in this business some – a company which is weighted perhaps too heavily towards an individual customer or a couple of customers. What we liked about this blend of revenue which was – which is just north of $50 million is a very well balanced portfolio. You know, I don’t think any individual customer accounted for much more than $5 million a year in sales. So, we really found that to be attractive, you know, versus our – the – some of the companies that we bought in the past that we were very dependent on one or two customers. So, we found that to be attractive. We think there is a number of growth opportunities with these customers both domestically and internationally. So we think that this business is poised to grow both independently and as part of the Supply Tech network.
Richard Paget – Morgan Joseph: Does the acquisition further diversify your end market exposure or is it additional end markets you already serve?
Matt Crawford: I would say that it modestly diversifies, but I think that the thesis of this acquisition was more about it being a – a direct competitor. We did share an account. So it was more – the thesis was less about end market diversification, although there was some of that. As opposed to something like the NABS acquisition, you may recall, which was large – about diversifying into the consumer electronics area. This thesis was more about increasing content within our current network.
Edward Crawford: Hey Richard, by the nature of Matthew’s comments this lends itself to a better opportunity from a consolidation standpoint of warehouses and operating expenses.
Richard Paget – Morgan Joseph: And then just looking at the strong incremental margins in the quarter with the integration of ACS, will that maybe take a little bit of a pause and we’ll have some integration costs and maybe this north of six operating margin, it might take a little while to get back to that?
Matt Crawford: I think you raised a good point. From a formal perspective, I think it’s likely we’ll see a modest restructuring charge in the fourth quarter as we try to do some of the things that will make ACS a better business longer term. So, I think from a product mix standpoint, if you will, or from a customer mix standpoint certainly ACS comes to us as a lower net margin business than our core business. So, there is some work to be done unquestionably. So, the answer to that is yes. Having said that, it’s a business we understand. It also comes to us with some very good, a very good management team. We have had an opportunity to spend a fair amount of time with the ACS senior management team and we have just been impressed by the group across the board. So, we’re going to be careful in how we integrate this business and make sure that we don’t damage what essentially is a pretty good management team and a execution team at ACS, but then of course look for opportunities to increase margin as well.
Richard Paget – Morgan Joseph: Okay. And then moving on to Aluminum Products, you know, obviously that business and with four quarters of profitability it seems like has turned around; although I guess to play devil’s advocate sequentially revenues are down a little bit, profitability down a little bit. Is that something seasonal, are you guys having some startup costs, just kind of trying to get a sense of what the trends are there?
Matt Crawford: Well, I don’t think this business particularly when you are having a startup and add-on and certain product lines moving out and certain ones being added, it’s going to be – it’s not going to be a straight uphill climb. You are going to have some quarters that go up and down and shipments and everything else, so it’s really hard to measure something as dynamic as this turnaround is and measure it by quarter by quarter. I mean, clearly the company was in a recovery mode and going the right direction before the first quarter of ’09 and it’s continued from the second quarter of ‘09 straight on to where we are today and hopefully the future. And also keep in mind that we’re adding business here without spending a tremendous amount of CapEx. So, we are utilizing the facilities that we paid for in ‘07 and ’08. So, I don’t think it’s – it might appear to be lumpy to you, but to me it looks like its jump straight uphill.
Richard Paget – Morgan Joseph: And then with the new business getting added in 2012, can we expect some startup costs in the second half of ‘11?
Matt Crawford: I think you’re going to – there’s always front end loaded, these costs, in the aluminum business although the – the business that we have been successful in – in obtaining there’s two blanks part of it. The electronic steering business is new. I mean, I think in the next five years, I think most cars in America will have electronic steering. So, there’s always dollars connected to that startup of a new technology, but when it comes to running the old – the old plants, but yes, there will always be probably be in '11 or will be some costs early onto that set the table for the dynamics that happens in the fourth quarter and in 12, 13, 14 and 15. In other words, you are spending the money for a – well, a five-year run. So yes, there’s some expenses upfront, but, again, I don’t think it’s lumpy. When the total results are the revenues will continue adherently to grow.
Richard Paget – Morgan Joseph: Okay. And then finally moving on to Manufactured Products, Matt, you mentioned there was some strength in the oil and gas and steel and then some of the aftermarket. Any other areas that are strong and I guess conversely you mentioned locomotives were down. Any other areas kind of you can give us some more color on?
Matthew V. Richard: Yes. The – the locomotive builds is really the only glaring obvious negative. In terms of end markets, though, what has been interesting relative to the recovery in the new equipment business is it’s been disproportionately driven by a recovery in the U.S. market which has been great. We’re seeing nice shipments both on the induction side and the oil and gas business here in the U.S. I suspect from – from an oil and gas standpoint it has to do with some of the tariffs kind of related to the – the action taken against the Chinese for dumping tubular goods in the U.S.. So that’s benefited our business. So we think we will continue to as – as foreign companies and U.S. domestic companies invest in that kind of production here in the U.S.. And the rest of it is really just a general recovery in the induction business. I mean we’re still not obviously getting anywhere near our peak performance in ‘07 and ‘08. So, I think that we’re going to continue to see strength there across the board. As I mentioned, margins are going to be a little more volatile as they grow – as that business grows depending on, you know, I guess, the significant contracts that gets signed and sort of where they get made and plant optimization and so forth. So it will be a mix, but we are certainly seeing an upward trend.
Richard Paget – Morgan Joseph: Given the costs and I guess this is general for all the business that you have squeezed out in this down cycle, do you think you can top peak margins from – from the top of the last cycle?
Matt Crawford: Well, from a philosophical perspective I would say that, you know, we have three different businesses with different margin characteristics. Clearly our manufactured product segment driven by our forging and our equipment group are – are higher margin businesses and they will contribute. When they contribute disproportionate share as they did in the top of the last cycle, we’re clearly going to get better margin performance. Certainly, we love the return on investment model, as you know, for Supply Technologies, but with that comes a smaller margin business. So, it’s very difficult to answer that question without being able to really define where the volume growth comes from.
Richard Paget – Morgan Joseph: Right. But mix aside on the individual operating segment basis, I mean, if you feel pretty good with the way you’re positioned?
Matt Crawford: I think that we – as you can see particularly in the Supply Tech business with the abnormal or I think I said atypical flow-through and incremental margin we have got – this thing because of our concern over the economic outlook we continue to keep this thing as tight as possible as it relates to the cost structure and the business. You know, is that sustainable?
Matt Crawford: It’s unclear. I would say that we’re still conducting ourselves as though there is a real amount of uncertainty in the business. So I think that – I think that’s not uncommon among people sitting in our chairs and we are optimistic that the economic climate and kind of visibility, I’ll say will start to clear. I feel good about the current quarter, but certainly visibility is still as not where we would like it to be.
Richard Paget – Morgan Joseph: All right. Thanks. I’ll get back in queue.
Operator: Your next question comes from the line of David Marsh with Odeon Capital.
David Marsh – Odeon Capital: Morning. Thanks, guys for taking my question. Good quarter.
Matt Crawford: Thank you, David.
David Marsh – Odeon Capital: Just a couple quick housekeeping items. You have a figure for capital expenditures during the quarter?
Matt Crawford: Yes. I think I just said on the call – a few seconds ago that it is 15 for the quarter and 4 for the year.
David Marsh – Odeon Capital: Okay. Great. And I know it’s a little bit early, but do you have, at this point, a preliminary forecast for ‘11 for CapEx?
Matt Crawford: No. No. It’s premature. We are in that process right now.
David Marsh – Odeon Capital: Sure. Sure, I understood. And then when you – when you look at the ACS’s business, it’s about a $50 million revenue run rate business and when you look at – when you look at the new customers that are being brought onboard, what do you think that business has a potential to grow to if you can just get through the entire customer base in all of their international locations?
Matt Crawford: Oh, boy. There’s some awfully big companies and parent companies of some of the current customer list so, more than we could effectively implement. I mean, the market would be a multiple – a very high multiple of what – what the current revenue level is, but I think the gating item there would be how to implement it rather than – how to implement it effectively rather what the opportunity is.
Edward Crawford: Dave, answering in a different way, this particular segment, if you want to call it – will probably grow faster internally than the total base business because the opportunity do presents itself from a foreign implication of in going with these customers. We offer more services and I think that they are very anxious to participate in a bigger relationship.
David Marsh – Odeon Capital: Sure. Sure. Just kind of again on the bigger picture items, I mean, your revenues have increased now sequentially five quarters in a row and based on the guidance we should be modeling a sequential increase in revenue in the fourth quarter. And, obviously, we are still arguably early in the recovery. As we look to 2011 beyond, I mean should we think about continued sequential improvements on a quarterly basis throughout ‘11 or do you think that your business would return to kind of a more typical seasonal pattern that you would have seen in mid cycle?
Edward Crawford: Well, that's really attached directly to the energy and the recovery. We will do very well in the current recovery rate and we'll do better if the rate of growth expands. We're going to follow that. But it's pretty hard for us to sit here and look into the future other than, our visibility is good and we're going to follow the economy and we'll do very well at these numbers or lower, but we're going to do particularly well if and when this begins to be more robust across all the platforms. Keep in mind the great thing about this company. It's got a lot of opportunities. It's very diversified, it's international, it's got three silos, it's in a lot of businesses and a lot of world class customers. So we're going to be the benefactor of any move in – part to the economy or we are in the total economy, both international and North America. So I think we're well positioned. It would be very hard to look at this thing quarter-by-quarter. We're going to have a – we're in the process, right now we are putting together and finishing up our 2011 plan and we hope that we will do obviously better than the year before.
David Marsh – Odeon Securities: Sure. Sure. Let me just ask one other kind of big picture question a little bit differently. When you look at the customer base and you look at the inventory levels of the customer base, do you feel like – I mean, obviously, you're in dialogue with them and recurring and on a probably daily basis. Do you feel like they are still keeping inventories at kind of conservative type lower levels, where there's some pretty significant opportunity for growth there? If the economy does start to recover or do you think that they've effectively replenished and are back to kind of pushing back towards like mid cycle type inventory levels?
Matt Crawford: No. As I indicated, – this is Matt. Sorry. As I indicated in my closing comments, despite what we think was solid performance in the third quarter, we are not certain that any of our customers are expecting or looking at substantial growth in the coming months or expecting a return to any type of peak performance at the revenue line. So we continue to think there is a fair amount of uncertainty and our business plan is consistent with a lot of our customers, which is we're in a sort of wait and see mode. It's been normalized down to a level where people are fundamentally, they're right working capital levels for the current – the current demand, which is a lot better than last year but still well below peak volumes.
David Marsh – Odeon Securities: Sure. Sure.
Matt Crawford: We just are not seeing that kind visibility from our customers, who are saying that they're expecting significant leaps in demand going into next year. That is not the tenor out in the marketplace. But it doesn't mean that they're not confident, that there's going to be incremental opportunity and a solid environment but certainly nothing like '07 and '08 at this point.
David Marsh – Odeon Securities: Right. Sounds good. Well, good progress, guys and good quarters and best of luck for the balance of the year.
Edward Crawford: Thank you very much.
Operator: Your next question comes from Michael Levine [ph] with BB&T.
Michael Levine – BB&T: Good morning.
Edward Crawford: Hey, Michael. How you doing?
Michael Levine – BB&T: Good. How are you?
Edward Crawford: Very well.
Michael Levine – BB&T: I just want to ask you this morning – just a couple of questions. Any particulars on the $3.5 million asset write-down, what area that was in?
Jeff Rutherford: Yeah, Michael. What that is – this is Jeff Rutherford by the way.
Michael Levine – BB&T: Hi, Jeff.
Jeff Rutherford: What that is, is we have investment in an MBD [ph] high pressure die-casting facility, that this year based upon their performance based on our evaluation of their performance, we took an impairment of the – of our investment, the $3.5 million and then we took possession of the assets of that facility. And we are currently operating that facility relative to the turnaround in performs and salvage engine of the business that can be salvaged.
Michael Levine – BB&T: Okay. Okay. Okay. ACS was a partial quarter for them, right? They – or wasn't quite the whole quarter, revenue?
Matt Crawford: Michael, its Matt. As I said in my comments, the only month included was September.
Michael Levine – BB&T: Any – can you give us any estimates of revenue in EBITDA for the months?
Matt Crawford: From a sales perspective it was consistent with our – our just north of 352 – just north of $50 million. I guess annual expectation and yeah, I wouldn't give you any EBITDA numbers other than to say that it's somewhat consistent with our expectation that the business was modestly profitable when we bought it.0
Michael Levine – BB&T: Okay. All right. And, any update on paying down your bank debt, any update on the schedule and when you might be taking time for that to help?
Matt Crawford: In particular on the term debt? Is that what the question is?
Michael Levine – BB&T: Yeah. On the term debt.
Matt Crawford: Yeah. We have a schedule on term debt that – the B is a two year amortization. There is a pre payment requirement relative to excess cash flow. That B although – although the banks – based on our performance in cash flows and availability, the banks that didn't participate in the B would like us to pay it off early. We have made a decision yet to pay it off early, but regardless it'll amortize through the first half of ’11. So by the fourth quarter of next year it will be fully amortized. The A which is secured in equipment and real property U.S. equipment and real property, is a ten-year amortization. There's no reason for us to pre pay that at this point in time. That'll amortize down. And then the revolver is basically U.S. and Canadian cash flows flow right into that revolver and we're in a very good position right now. We're in a better position today than we were at the end of the third quarter and we anticipate that to continue. Our operating companies are doing a fabulous job of working capital management. They continue to do so and – and what the EBITDA increasing, the North American portion of that goes directly to pay down revolving debt.
Michael Levine – BB&T: Okay. So it's basically, you're going to use your cash for just to take down the revolver?
Matt Crawford: Yeah. And then this year, we would – the revolve – the total debt would have been – net debt would have been paid down $42 million. We used $16 million of that to acquire ACS. $16 million of revolver availability and obviously working capital leverage ability working capital came with that acquisition and $2.2 million of debt with – with the seller.
Michael Levine – BB&T: Okay. All right. That's it for me. Thanks very much.
Edward Crawford: Thank you.
Operator: Your next question comes from the line of Doug Ruth with Lenox Financial Services.
Doug Ruth – Lenox Financial Services: Good morning. Congratulations on a good quarter. Sort of following on the same theme, is there any thought on the bond and bond refinancing at this point?
Matt Crawford: Dough, this is Matt. How are you?
Doug Ruth – Lenox Financial Services: Good.
Matt Crawford: Yeah. No. I would – we are obviously monitoring the performance of the high yield market. We've got a little over four years left before the maturity on those securities. So we – there is a hefty pre payment option at this point. So it is something that we're monitoring and we recognize there is some opportunities out there, particularly given the performance of the company. So it's – it's always on our minds.
Doug Ruth – Lenox Financial Services: All right. Nothing in the near-term horizon?
Matt Crawford: Yeah. I mean I – as I said, we constantly look at it, but we have to fully sort of appreciate from a financial perspective. It's great to know that our bonds are trading at par or above and it's great to know that. But it's still pretty nice sort of four and a half year paper and I think we've got some opportunity to improve the credit characteristics of the company even more, so. And it's not creep to take them out at this point. So we've got to sort of roll that into our own kind of analysis here and all I can tell you is that we look at it all the time.
Doug Ruth – Lenox Financial Services: Okay. Thank you and congratulations on that nice quarter.
Edward Crawford: Thank you very much.
Operator: (Operator Instructions). You have a question from the line Matt Vittorioso with Barclays Capital.
Matt Vittorioso – Barclays Capital: Hey, good morning, guys and great quarter. Just a couple clean up items for me. Could you provide cash from operations for the quarter?
Edward Crawford: Cash from operations?
Matt Vittorioso – Barclays Capital: Yeah. Just trying to back into free cash flow for the quarter.
Jeff Rutherford: Yeah. It's going to be – for the quarter – for the half.
Matt Vittorioso – Barclays Capital: Or even nine months.
Jeff Rutherford: For the nine months, it's going to be just under $50 million.
Matt Vittorioso – Barclays Capital: Just under 50. Okay. And then, Jeff, could you provide the breakdown between revolver term A and term B as of the end of the quarter?
Jeff Rutherford: Yeah. I have that. Hang on a second. The – at the end of the quarter the A is 26-six.
Matt Vittorioso – Barclays Capital: Yeah.
Jeff Rutherford: The B is nine-six.
Matt Vittorioso – Barclays Capital: Okay. And the balance is…
Jeff Rutherford: And the balances revolve.
Matt Vittorioso – Barclays Capital: Okay. And then lastly, just sorry if I missed it, but you have done a great job in generating cash for the first two quarters of the year. What are your general expectations for the fourth quarter? Should we expect another quarter of solid free cash flow?
Jeff Rutherford: Well, we're going to have an interest payment – a bond interest payment in the fourth quarter. And right now – right now, we are forecasting for the fourth quarter cash flow to be effectively breakeven.
Matt Vittorioso – Barclays Capital: Would you expect the working capital to use cash in the fourth quarter? Is that what would kind of may just breakeven?
Jeff Rutherford: Yeah. I mean, obviously, we're going to be positive, EBITDA, in the fourth quarter. So after – after the interest payment and we'll have some tax payment, we know what our CapEx is going to be. We have a modest use of working capital. Cash use in working capital in fourth quarter.
Matt Vittorioso – Barclays Capital: Okay. That's helpful. Thanks, guys.
Jeff Rutherford: But our expectations – our goals are much higher than that.
Matt Vittorioso – Barclays Capital: Sure. Sure. Good quarter. Thank you.
Operator: Your next question comes from the line of John Baum with Shareholder Park-Ohio.
John Baum – Shareholder Park-Ohio: Hi, guys. How you doing? Fantastic quarter.
Edward Crawford: Thanks, John.
John Baum – Shareholder Park-Ohio: You keep hitting the ball out of park. Just following up on some of the previous questions. Is there a yearend inventory target?
Jeff Rutherford: Yeah. But that's not something we give guidance on, John, but…
John Baum – Shareholder Park-Ohio: Okay.
Jeff Rutherford: Obviously, we have working capital targets.
John Baum – Shareholder Park-Ohio: Okay. Very good. And how about full-year cash taxes, have you got an estimate for that, Jeff
Jeff Rutherford: Yeah. We've paid a million two through the first nine months. It's going to be around $2 million and that's basically foreign tax. We're still in analog carry forward position for U.S.
John Baum – Shareholder Park-Ohio: How far and how much analog carry forward do you still have?
Jeff Rutherford: The net number is about $12 million. So the gross number is somewhere in the mid 30s.
John Baum – Shareholder Park-Ohio: Thank you. I noticed the depreciation amortization was down, third quarter, Jeff. Is that because Aluminum Products was down or is that – I can't really annualize that, can I, why was D&A down a little bit.
Jeff Rutherford: D&A is down because in the last couple years, our CapEx is down.
John Baum – Shareholder Park-Ohio: Okay. So does that mean for – if we project into – if we project in 2011, it will be down absent new builds?
Jeff Rutherford: Yeah. We're running like we're going to run this year about 18. It's going to be about 15, between 15 and 16, we historically been running at 18. I would say you could model it out at 16.
John Baum – Shareholder Park-Ohio: 16. Very good. Eddie, I will come back to you. What do you see with Ford, the big three, maybe car sales next year? Are you knocking on any other automakers doors?
Edward Crawford: Well, as you know, we're only excited about the fact that they'll sell 12 million cars. We haven't lifted this concept that it's going to go higher, but it appears that it's going to go higher. So we're still thinking 12 million cars and a smaller supply base. So we haven't really started dreaming about cars at 12, 13, 14 or 15, but quite frankly I've been in Detroit a lot recently. Everyone's pretty excited up there and in particular the – the Chrysler is coming out with two brand new platforms, a Sedan and SUV and we're part of that. And right now, I think the – all the car companies – and quite frankly there's some indications that a lot of Japanese manufacturers of die-casting particularly are losing momentum over there and that work might come back to America. So it hasn't all shaken out yet, but at 12 million cars, which we think we will achieve in 2011, ‘12,’13. I think we're in good shape. Just again we haven't lifted and we haven't started acting like there's going to be 14 or 15 million cars.
John Baum – Shareholder Park-Ohio: Okay. And finally, can you comment on international markets, Europe, maybe China?
Edward Crawford: From the total company viewpoint or from the aluminum viewpoint?
John Baum – Shareholder Park-Ohio: Let's go total company.
Matt Crawford: John. It's Matt. How are you?
John Baum – Shareholder Park-Ohio: Good.
Matt Crawford: Yes. I would comment – as we discussed a little bit earlier, as it relates to specifically to our equipment business. First, I would say that it is soft on a relative basis, a disproportionate share on a historical basis of our new order bookings in the U.S. It doesn't mean that we're not seeing activity there. We are. But clearly they – on a percentage of the total bookings they're not as robust as we have seen them in the past. So I think particularly in Europe we are still seeing kind of a recovery mode. As it relates to Supply Technologies, I think that that business continues to stay reasonably strong. They are some of our customers, I know are moving, relocating some operations into Asia, specifically Singapore. So we're seeing real robust activity continue to happen in Asia. So I would say that we are seeing some strength there in the U.S. market, but obviously followed by continuing sort of resourcing activity and strength in Asia and certainly Europe is lagging.
John Baum – Shareholder Park-Ohio: Fantastic. Really, a great turnaround year and if this investor renaissance continues, we've got good stuff coming. So keep up the good work and we'll talk later. Thanks.
Edward Crawford: Thank you very much. We're going to take one more call and we're going to have to move on to other activities.
Operator: There are no further questions at this time.
Edward Crawford: Well, I want to thank everyone for joining this morning. We appreciate everyone's support and every stakeholder in the company and I think we are – I believe we're going in the right direction out here and we look forward to continuing our current success mode. Again, thank you very much and have a nice day.
Operator: This concludes today's conference call. You may now disconnect.